Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Natuzzi's S.p.A. First Quarter 2024 Financial Results. As a reminder, you can join the conference call live also via telephone by dialing into the following number +1-412-717-9633 then Passcode 39252103# in addition to the link already provided via video. Once again, to join via phone, that's +1-412-717-9633 then Passcode 39252103#. At this time, all participants are in a listen-only mode. Following the introduction, we'll conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. Joining us on today's call are Mr. Antonio Achille, Natuzzi's Chief Executive Officer; Mr. Carlo Silvestri, Chief Financial Officer of the Natuzzi Group; Mr. Pasquale Natuzzi, Founder and Executive Chairman; Mr. Mario de Gennaro, Chief HR, Organization and Legal Officer; Mr. Diego Babbo, Global Retail Division Officer; and Piero Direnzo, Investor Relations. As a reminder, today's call is being recorded. I'd like to turn the call over to Piero. Please go ahead.
Piero Direnzo: Thank you, Kevin, and good day to everyone. Thank you for joining the Natuzzi's conference call for the 2024 first quarter financial results. After a brief introduction, we will give room for the question-and-answer session. Before proceeding, we would like to advise our listeners that our discussion today could contain certain statements that constitute forward-looking statements under the United States security laws. Obviously, actual results might differ materially from those in the forward-looking statements because of risks and uncertainties that can affect our results of operations and financial condition. Please refer to our most recent annual report on Form 20-F filed with the SEC for a complete review of those risks. The company assumes no obligation to update or revise any forward-looking matters discussed during today's call. And now I would like to turn the call over to the company's Chief Executive Officer. Please, Antonio.
Antonio Achille: Thank you, Piero. Welcome, everyone, and good morning for people joining from US. Good afternoon from people joining from Europe. I will start by highlighting some of the figure of the first quarter 2024 and then provide more transparency on the strategic agenda and operational agenda, myself and the team is focusing on. So we closed the first quarter of 2024 with invoice sales pretty much in line with the previous year at around EUR84.5 million. If we look at that split by geography, US and China and the remaining geography are above last year South you know West Europe and emerging markets are the geography that reported lower sales versus last year. Clearly, when we talk about emerging markets, we include Russia and it's clearly a region where there is still a very significant geopolitical turbulence as well as when we talk about emerging markets, we talked about the Middle East area. And Europe is also in a sense, closer to those dynamics. In terms of sales, I believe it's important to highlight that sales from directly operated stores, so the store that we only operate directly have been growing of EUR20 million, sorry, arrive at EUR20 million, growing 13% versus first quarter same period last year and 10% versus 2022 that as you know was still a very strong year. This doesn't happen by chance, but happens because as we declared several times, we continue executing our strategy to become a more retailer-centric company. And in particular, that's true for North America, where the directly operated sales grew by nearly 30% versus the first quarter 2023 and 32% versus the first quarter of 2022. Again, let me restate that retail and US are toward a very central to our future development strategy. Another element I would like to highlight is that despite the low level of sales, we have been improving on gross margin. Gross margin reached almost 37%, almost 37%, which is almost 1.5 percentage point above 2023, and this is almost seven point percentage above 2019. This is important and is again another element of our strategy around value creation. The gross margin and the level of sales led us to an operating profit of EUR0.6 million, which compared to a loss of EUR0.9 million in 2023 and a loss of EUR3 million versus pre-COVID level 2019. When we look at the operating profit, it's more difficult to compare to the year in between because there has been a lot of one-off support measures and restructuring measure that affected those figures. Another element which is worth fleshing out is that, we continue executing our restructuring. So in the first quarter, some 94 resources left the company, bringing to almost 18%, the total reduction that we reported achieved since 2021. This is, I would say, the overall profile of the quarter. I will not spend too many words on the context that, as you know, you are very seasoned investors and following closer what's happening. Clearly, the markets are not yet bouncing back because the interest rates remain where they are and we are very much depending on real estate. But I will not spend a word on that. I would rather engage with you on being explicit on what we are working on in terms of management team. And in particular, we are working on eight pillars. The first one, as I mentioned, is expanding margin and lowering our breakeven point. We improved of seven percentage points our gross margin since 2019. And this has been achieved regardless of the fact that we don't have our factories in Italy saturated and also regardless of the fact that 2021, 2022 were a year of unprecedented high inflation. So if we would normalize for those element, the improvement would have been more in the range of 10 percentage points of gross margin. That is important because basically we lower the procurement of the company of some hundred million in terms of revenue required to breakeven on a yearly base. This means that when we achieve growth, that growth would be very healthy in terms of margin conversion and cash conversion. And this is not yet the end of the story because we continue working in expanding the margin and I believe we're going to be achieving our internal results, which are to continue this kind of trajectory for the next years. The other pillar we are pretty much working on in the context of low traffic is leveraging our brand strength. We just commissioned a survey performed by independent market research which reconfirm what was already been highlighted a few years ago, which is a very strong positioning of Natuzzi among European and even domestic brands in market like US, where Natuzzi is ranked first brand among European brands. Same is true for China and same is true for most European market. Building this kind of awareness today will cost EUR100 million, if not billion in each of those geography. So that is an inherited asset that we have. In a situation like this, we are increasingly of low traffic. We're increasingly leveraging the brand strengths to increase food traffic in the stores directly operated and those of our partner. Increasingly, we are doing so also by having more active digital approach in the early part of the consumer journey. Another way where in which we are leveraging the strength of our brand is trading contract. These are organic way of growing our business because we don't need to open new stores. We established some years ago -- one year ago, a new division and the quality of discussion we are engaging on, especially for contract are very interesting, and they are interesting on a global scale from Middle East to Europe, to US confirming the strengths of our brand, but also our ability to come out with really appealing design, not only for furniture, but for living space. I hope will be able to report a more specific wins. We are engaging some very exciting discussion in Middle East, but it's premature to share more on those. The third pillar, where we're focusing on and not by accident Diego Babbo is joining this call regularly is retail. As I mentioned, retail in term of directly operated store has been growing nearly 4% in the quarter. When we look at retail, the way consumers will look at it, which means Natuzzi freestanding stores, regardless their operated directly by the group or operated by franchising, the weight of that business on the total business has been growing of some 25 percentage points since 2019. 2019, that percentage of business was 40%, we are now at 6.4%. So a very strong steady acceleration to become really a consumer-centric, a retail-focused company. We have been managing retail somehow before knowing fully how to do it. And I believe the work that Global Retail division has been doing recently to catch up has been very noticeable in terms of tools, training approach, merchandising approach. And the area of retail is an area where we continue investing. I'm pleased to report that the new retail format, which is an evolution in the term of sustainability that Natuzzi Italia presented in the Milan Design Week, last April, has been really welcomed by a stronger acceptance by our dealer globally from China to emerging market to US. And this is the base now to create a more immersive brand experience in each of the more than 200 stores we have for Natuzzi Italia. And this concept will be part of the future retail development that we will push in our stores. Part of this concept is a design studio, which has been a place specifically created to welcome clients and especially designer and architect to continue the journey, the Natuzzi Italia is now really matured which is to say we want to create harmony not only in a specific space, selling a specific product, but in the total home selling project, which means designing living space being the living room, being the bedroom, being the rest of the house. Wholesale remains still a very important dynamic component of our revenue, especially in geography like US. And as a fourth pillar of our work, we really wanted to step up in term of quality of the relationship we have with our wholesale partner and quality of the relationship we have with our customers to them. As part of that, we launched what we call reimagined gallery format. As you know, Natuzzi has been historically operating with gallery which is our -- which are shop-in-shop kind of retail environment. But according to the customer experience in those environments were often -- was often left to freedom of interpretation by our retail partner. In the intent of becoming more a consumer and brand company, we also standardize that kind of environment to what, as I mentioned, we call reimagined gallery concept, which is a shop-in-shop environment, conveying a more comprehensive experience of our brand. Also this innovation has been and is very welcomed by our partner, not only in US, where we have 29 deal of this type, some with important accounts that were not distributing anymore Natuzzi, they decide to reinvest. And the same is happening in other geography, including Germany, where important partner decided to engage in this type of distribution. This is particularly true for Natuzzi Editions and in [indiscernible] stands also for Natuzzi Italia. Natuzzi Italia, the privileged channel is really freestanding store. The fifth element that we are working [indiscernible] and Pasquale we're really lucky to have him still very involved in design is our collection. Especially for Natuzzi Italia, Milan Design Week, we just ended in April has been a very important moment to show to the global partners the maturity of the Natuzzi Italia project, which is a maturity achieved somehow leveraging even more our DNA, which is a DNA which talk about harmony is a DNA which talks about comfort and the new collection, which has been presented based on those element are receiving very strong positive feedback and orders. As you know, our time to market is quite as for the industry long because once the collection are purchased by our partner, it takes few months to be delivered and basically is when they start being presented to the final consumer. This will happen in a few months and we are very confident the freshness of this new collection for Natuzzi Italia will help providing a better experience of our brand and which is very important, support sales in the stores where they will be presented. The sixth pillar is about geography. Natuzzi being a global brands operate in more than 100 markets. And this is definitely an advantage of being a global brand, but in the discussion with the Board has been clearly highlighted and agreed on that a global strong position can only be achieved with stronger local position. And we identified three macro opportunity. One is US. As I mentioned, US is central to our future strategy as has been central to the historical success of the company and to US goes all our effort in terms of supporting the retail and also supporting the organization, where we are still working on to finalize the final structure. China is the second continental geography where our brand is clearly a strong potential. We now operate some 340 stores between the two brands. As you know by now, we don't consolidate line by line in China. So you don't see that sales in terms of sell-out, but you see that sales in terms of sell-in. We are working very intensively to make sure that China is integrated in the journey we have been doing especially for Natuzzi Italia. And this integration is continuing as a sum of more cohesive interaction with the management. The key theme of China will be in July in Italy is continuing by means of integrating IT systems. So China is now in progress of being integrating our IT system and also in the way of operating stores. End of July, there will be a new opening of our Hangzhou store. Hangzhou is one of the largest city in China, 40 minutes by train from Shanghai and that store has been designed by us in terms of layout, merchandising and customer experience, really to become a first flagship that can talk the language of Natuzzi Italia. We believe that having the JV, which has by governance, the authority to the legitimacy to complete this design. Having gained the legitimacy to do it ourselves is an important sign of the journey we are doing with them. And in September, there will be a similar store opening in Shanghai. So we really start reviewing the network of the stores directly operated by the JV to really set up a standard of what should be Natuzzi Italia experience in China. Europe, beyond the UK and Italy and Spain, which are really key geography. We are working to reenter some of the countries where Natuzzi had historical even significant footprint, but for reason of the focusing has been somehow neglected. One example is Germany. We have recently signed an agreement with the key age group to reopen 22 galleries in the next month. The seventh pillar we are working on is the restructuring and atomization of our factory and the restructuring of our SG&A. We've been extensively commenting during the last press call with Mario. Therefore, we are doing to reducing our account while we're investing in area like consumer experience, marketing and retail. This process continue. Of course, the speed of this process is determined by two main elements. One is the regulatory framework that, as you know, in most European countries, is very strict and especially in Italy when it comes to workforce reduction and the second is our ability to invest in the restructuring because, of course, most of those restructuring outside US, they are quite demanding in term of one-off restructuring, even though then they have a very promising payback more midterm. This leads to the last point of our agenda, which is dismissing the strategic resource because in a time where, given the level of sales, we don't have the ability to invest as much as we want. We continue exploring, actively exploring how to sell some of the assets that are not clearly any longer strategic. This include a point where there's been several discussions. The high interest rate clearly don't favor at the moment this kind of sales for the right values and we don't want to undersell the building. This also includes the tannery we have in Italy, which is part of our value chain, but for which we could think of alternative setting and includes some minor asset such as terrain we have close to Romania. So this is what gets our attention. Clearly, in a situation like this, there's always the risk of compromising more the midterm for the short term. This is not the case. We are definitely focusing on the short term in terms of cash management, but we want to keep our eyes on what will create value more in the midterm considering the strengths of our company, the strengths of our brand, which is globally recognized and the strengths of our nearly 700 stores globally. Let me stop here for your question. Of course, then with Carlo, we can also double click on working capital and cash management and other elements. But let me stop here for initial reaction to this general overview of our strategic agenda.
Operator: Thank you. [Operator Instructions] Our first question today is coming from David Kanen from KWM LLC. Your line is now live.
David Kanen: Hi, guys. Are you able to hear me?
Antonio Achille: Yeah. We do.
David Kanen: Okay. Well, First, I'd like to, in a way congratulate you on some of the green shoots that I'm seeing. I think there are a lot of encouraging signs in the financial results that you reported. And I'd like to just drill down a little deeper to gain a greater understanding. I'm encouraged by the improvement in the gross margin as well as the management of operating expenses. It sounds like you have a number of growth initiatives underway expanding your network of DOS stores in North America. But what seems new is you called out this agreement with galleries in both North America and in Europe. So if you could speak to the incrementality of these galleries in Europe and North America. And then also you spent a little time talking about the JV in China. Is that an area despite the, let's call it, furniture depression that we're in right now, is that an area where also you expect to see some growth before the, let's call it, the reduction in interest rates and normalization and housing. So there's a lot I gave you there. I'll let you respond.
Antonio Achille: Thank you, Dave, and if the [Technical Difficulty] I will take one question at a time to make sure we're really capturing for the questions. So I will answer -- start answering today before opening to next question. So first of all, thank you, Dave for the encouraging award on the direction the company and the team is doing hard work to achieve clearly in a contest of still headwinds. To your question around the gallery in China. So we definitely are focusing on the quality of interaction with our final customers. These, in retail, reached the maximum, let's say, level of quality and brand immersion because we really can create and working specifically for Natuzzi Italia an immersive experience into our brand, showing the total living, which includes beyond the porcelain furniture, dining, bedroom, accessory lighting. And we also, as I mentioned before, especially for Natuzzi Italia, create a physical space where clients and designers are invited and welcome to spend time in defining a more, let's say, high quality project. This is the long-term direction, especially for Natuzzi Italia. At the same time, this concept applies to a portion of the market, which in certain geography is still an opportunity for us. In particular, I'm referring to US, where there are large retailers maybe in geography where a directly operated store would not be guaranteeing an adequate return. So we don't want to neglect those opportunity. At the same time, we want to elevate the quality of those opportunity, both for the benefit of the partner, so the retail and also for the benefit of establishing a strong relationship with the final customer. The reimagined gallery is really shooting for those two objectives because by providing a more conductive experience in the brand in this multi-brand environment, it guarantees high returns for the retailer because the investment in those reimagined gallery are really been very thoughtful about guaranteeing a good retail return for the partner. So we're not talking about investment in the amount that will go in a directly operated store. But still those elements that create an atmosphere of the brand, plus a very careful interpretation of the layout and the merchandising can provide an adequate level of experience of the brand for the final customer. And this apply specifically for Natuzzi Editions even though there are some circumstances where also Natuzzi Italia can explore this option. So this does not contradict at all our long-term view of having a more customer-centric and a more high-quality interaction with consumer. But recognize that there are pockets of growth opportunity in that channel that are very important and also somehow needed to sustain the volume we need to achieve for our growth. I hope I addressed in a proper manner, the first question, unless please Dave stop me because I will move then to the second question regarding China.
David Kanen: Well, if you could provide more detail on the gallery business in North America and Europe, in the press release, you specifically called out 29 new gallery agreements in North America and then 92 in the rest of the world. So should we view this as investors as this is incremental that the gallery business should grow year-over-year with this incremental distribution.
Antonio Achille: So, the short answer is, yes, but let me provide a bit more context because those they're not entirely new accounts. There are situations where those gallery are a way to restart a dialogue with accounts that they were [indiscernible]. This is the case for instance of Germany. Germany, we are not distributing. Now we are going to open 22 gallery. That is fully incremental business. In some circumstances, especially in US, part of that additional gallery is a conversion of a space that we have in a department store where the quality of display of the brand was not activated. But you could interpret that more as organic growth, elevating the quality of the distribution in existing account. So in that part of business [Technical Difficulty] somehow on organic growth we are re-qualifying. Dave, there's a bit of noise. Maybe, Kevin, you can help us in, okay, much better. Thank you. So within the gallery, you can see a part of, let's call it, organic growth, which is achieved by elevating the quality distribution of existing partner convincing them to step up and open a gallery instead of a less qualified environment and there is also new account which has been, which is appealing proposal of gallery that they get convinced to create a space for Natuzzi Italia, Natuzzi Edition that they didn't have before. So that is the way you should, as investors look at this opportunity, which is not, as I mentioned at all contradicting our idea of retail force.
David Kanen: Can you hear me?
Antonio Achille: Yeah. Now, yes.
David Kanen: Okay. And then here's a question for Carlo. We know that at some point, the housing market is going to improve. Here in North America last year, I believe, just over 4 million homes sold. When you look at the long-term average, it's around 5.5 million. So about 28% fewer homes sold and there's a direct correlation between furniture sales and housing transactions. They almost correlate one-to-one. So at some point, things are going to normalize and the Fed is going to cut rates. It seems with some of the incremental distribution, the new stores and a recovery kicking in maybe in the next 12 to 24 months that we should be able to get back over $100 million in revenue. So my question for Carlo is at $100 million of revenue, will gross margin exceed 40% with some of the measures that you've taken?
Carlo Silvestri: Let's say that, David, thank you very much for your question, first of all. And let's say that as our progression shows in the previous quarter, we are already heading in that direction. So also integrating the retail margin in which we are going to go versus the 40% that you did mention. So this is a progression that we did started already by improving our gross margin working on a price discipline and adding that into a retail progression to our numbers, we will go to -- we should go towards that 40% that you did mention.
David Kanen: Antonio, if you could answer the question, and then I'm going to go back into queue regarding the joint venture in China. It seems as though you now have greater autonomy and influence over the JV. Could you talk a little bit about that and the effect that you expect to see over the next 12 months in China if these changes will contribute growth year-over-year?
Antonio Achille: Okay. Let's move to China. First of all, just not to be misunderstood. The governance, the rules, the China JV hasn't changed, in the sense that Natuzzi owning 49% in our, let's say, correspondent part Kuka owning 51 still create a situation where the governance is clearly leading to a key operational decision taken by the majority shareholder. What we have been achieving is creating a legitimacy that supported us to be more active in driving key choices about store merchandising, retail merchandising. What we call commercial excellence, which is how you should approach sales with dealers, where we're basically in a very open and partnership by way we shared with the JV, which is relatively newer to brand management, what has been the achievement of Natuzzi in other geography. By sharing those best practice and by heavily investing personally, and when I mean personally, not me, but I mean also me, but the full team in showing what can be achieved, we create a space, a much larger space of influence on the JV, which is a positive influence. So it's not a power influence, but it's a competence driven influence. Some people, including General Manager of the JV will be in July, first week of July in Italy and the discussion on how to make sure this kind of influence can continue would be central to that. But this is a description of the process. So if I go back to 2021, for instance, we didn't have any visibility of the performance of the JV at the granular level. We now do see the performance of the JV at the store level for the stores which are directly operated by the JV, Diego Babbo, our Global Retail Division Manager is being involved in discussion with the team of the JV on how to improve directly operated stores performances. We had some 18 dealers from China visiting Milan Design Week and then continuing to our quarter in South of Italy. The year before, we didn't have any dealer coming to our Milan Design Week and during the Milan Design Week, there were some 20 people, which are the key people in the JV in terms of dealing with Natuzzi Italia joining that, let's say, tour to Milan Design Week and then Santeramo. Again, the previous year, we didn't have any. And those occasions are really important to create a common way of working that for a company like us that aspire to manage globally a brand is very important because we are not a grocery retailer. So we need really to invest to educate our partner, which is not only the case of China or now to interpret what internally has been codified as the brand or region, which doesn't open, let's say, hurt any politically correctness, let's say, sense because religion for us is neutral. It doesn't say what religion, but it means that the credo of the brand cannot become promised. So a lot of the effort we're doing is spending time with the JVs really to make sure that, that credo is systematically absorbed and deployed at China level. So would that translate in higher sales and better management of the brands? The answer is we need to believe so, absolutely. Clearly, a new implicitly , no, explicitly actually put that in the context of your question, China remains a very troubled geography. So you mentioned the sales of new houses in US. I remind that Evergrande, which was by far the largest retail real estate operator in China went belly up and the founder, which was one of the most successful and richer person in China has been imprisoned for bankruptcy. So the market in China, especially for real estate remain significantly down versus previous phases of the country. But again, we know that those cycle, they're not irreversible. We've been in that cycle for quite a long time. So I'm looking also at China with optimistic lenses in terms of growth opportunity that we have. Okay. If that is a sufficient answer, Dave, I would rather ask you if you have another question or maybe Kevin can ask the remaining investors and analysts if they have other questions.
Operator: Question is coming from Corey Pinkston from Waterways Capital Advisors. Your line is now live.
Corey Pinkston: Right. Good afternoon. Can you hear me?
Antonio Achille: Yes, we do, Corey.
Corey Pinkston: Great. Well, I think to echo what David said, and obviously, I've been a supporter and continue to be for a while here. Just quickly the leadership of you and the support and leadership of Pasquale and really the execution of the team is incredibly impressive with the macro headwinds that everybody in your industry faces. But the operating leverage that you're creating and your transparency, it's one thing to execute on these, but when you start to talk about the gross margins getting to 40% and then kind of giving us clarity around the breakeven targets, we all think kind of long-term as to what David said, which is the power in this brand is it's pretty strong. One comment that, as you said, you walk through the retail initiatives that against all of the transformation and turnaround of the operating side and getting that to where you want to have it. Clearly, the environment right now puts some constraints on the, as you said, the full retail expansion. But when I listen to this call and I read your results and you talk about what you're doing on the retail the design, the gallery, the trade business that you're developing, kind of what I'll call the commercial business with contractors, while you're not able to potentially expand the footprint or some of the other things, as an investor, it doesn't really feel that that you're having to be disciplined or more disciplined around the CapEx, et cetera, as to what you might do, but it really doesn't feel like you're missing on where you want to invest for the turn, as David mentioned, whether it's 12 months or 18 months as we get to a more normalized environment. So can you just expand on that a little bit because while you're not able to maybe put the CapEx you might in a normal environment, it doesn't seem like you're missing a lot for the turn.
Antonio Achille: Thank you, Corey, again. And it's really encouraging to get your support as investors because, I mean, we have -- and I have two priorities. One is the customer, the second one is the shareholders. So for me, it's very important that you are very direct to us and I appreciate your support to us. If I interpret quite your question, but let me restate basically, you're asking us why we're not putting more CapEx in retail to support our growth. Is that what you're asking?
Corey Pinkston: No. Actually, I'm not asking that. I actually applaud you to the fact that you're taking advantage of this situation to not only rationalize your operating footprint and get that to where we want to have it because the power of that operating leverage drives to the bottom line when we get the turn. I guess I'm not asking why not more CapEx. It seems like you're able through your choices you're having to make on the retail side and the sales channels that you're kind of getting, you're able to continue to support the areas where you're going to drive the greatest growth now and --
Antonio Achille: Okay. I got. I got you. Yes. So basically, let's say, two discontinuity avenues to create a better margin and better leverage and then there is, let's say, business as usual. So business as usual, which is our focus is organic growth. When you have retail and stores, you bring on more the fixed cost, labor, rents, inventory. So the more you sell the better it is. And this is a handless job. We now have an US store in the range of 5 million, 6 million, which if you go back just 2019, the top performer were more in the range of 2 million. So something has been achieved and kudos goes to the management, which support us, but a lot still can be achieved to make this figure more systematic. So this is the first avenue to increase margin and return on capital also because we were talking about the margin and I want to remind that in a well-managed store, we get an integrated margin above 70%, where integrated margin means the retail margin plus the manufacturing margin, which, of course, then show us in our P&L. And let's say, organic avenue to create margin. Then there are discontinuity way of creating margin. One is reducing our SG&A structure, where what we can do in terms of reducing discretional spending has been done. We continue doing, of course, a great focus on discretional spending, but the company is clearly working on a very tight management of expenses. The other way is cutting, let's say, head counts. And this is something which very much depend on our long-term plan, which has been agreed on with the different stakeholders, but also our capacity to sustain the CapEx to execute those restructuring. And is the first avenue for creating value in a non-structural way. The second way is to open more stores. Opening a store is not something you should do light heart, because we learned the other way that if you open a store in the wrong location is a problem that cannot be solved. So we are very careful about it to find the right location. Once we have the right location, identify the right team. But of course, that is an avenue which if we identify the right location, the right team and we're operating well can be promising. The speed to which we can operate new store is, again, a function of our ability to invest. So it's true that for the time being, we have not been deviating from our, let's say, strategic agenda, which include those actions that I just finished summarizing. But of course, if we had more capital, we could accelerate on those two area mentioned, which is retained or restructuring. In a situation like this, we need to safeguard the cash. And of course this also call for some trade-off in terms of reinvesting in those area versus safeguarding the cash position. Corey, let me know if I addressed your question.
Corey Pinkston: You did. And from our just the balance and clearly the team working on the trade-offs between cash management and the investments, it's just the observation is in a difficult environment, you're continuing to be able to push those areas where you see the ability to get traction in retail across the board without having to compromise or with being able to keep some of that CapEx or restructuring. And I'm not going to ask specifically what you anticipate, but I would assume that you are providing for the additional restructuring here and there that you may continue to need to take those charges. So we won't ask specific numbers. One last question and I apologize if I had stepped away, but you do refer to the raw material cost and the hyperinflation that we've seen there. And I'm not sure if you covered it earlier in the call, but are you seeing -- is that alleviating or softening somewhat? How do you see the trends on that side?
Antonio Achille: So material-wise, most of -- I mean we are a complex production company, where product gets a lot of different inputs. But when we look at the, let's say, bulk of input, which are fabric, leather, motion, metallic part. Most of those, they are, let's say, not experimenting anymore on inflation similar to what we experimented in the last year. So currently, we just review the progression of the year and most of material are in line with our internal expectation. So for gross margin, no surprise. For below gross margin, transport, as you know, there is one of the consequence of the political tension is the Suez Canal not being any longer available to cut the route towards West. And this is creating some transport increase for those, let's say, routing, which we start witnessing. We were making space in our budget for that increase. We were also protected for a significant part of the year by prenegotiated tariff, but that is somehow creating some tension on the transport level also because you know that then when the global transportation get unbalanced, there's always a cascade effect because companies start moving container from one part to the other, which have not been fully filled. There is also some tactical gaming played by the company, the shipping company. So they might be on shipping some tension. But for raw material, likely we are definitely witnessing a more normalized environment, which is another way, midterm for potential expanding the margin. We also been very systematic in assessing our marginality. The company operates in other markets, operates two brands, does result in 100 pricing list, sometimes which are customer specific. We are now being very systematically making sure that there is no spot in those pricing list that are eroding our marginality. So that is another area that give me confidence that midterm, we'll be able to extract more value in terms of gross margin.
Corey Pinkston: Thank you. That's helpful. Thank you, guys.
Antonio Achille: Thank you to you, Corey. Kevin, maybe you want to go another round.
Operator: Sure. We do have one question in queue. [Operator Instructions] Our next question is coming from Kirby Newburger from Benjamin F. Edwards. Your line is now live.
Kirby Newburger: Hello, gentlemen. Can you hear me?
Antonio Achille: We do.
Kirby Newburger: Okay. Antonio, when we spoke a week or two ago, one of the things that was jumped out at me was that -- and maybe it was just in the United States, but over a period of time, your average sale has gone up by 10 or 20-fold and we talked about a little bit about the customers that are hotels and country clubs and the airport lounges or whatever. Are those mainly customized? And do they have a higher margin than the noncustomized.
Antonio Achille: Okay. So, Kirby, thank you again. And of course, I welcome any investor to reach us for individual discussion as the one we have regularly with some of you. We're very happy to engage and be transparent. Of course, in those discussion, we don't anticipate any let's say material on public information. Then going back on your question, Kirby, let me kind of divide in two. First is what we are witnessing on our traditional retail business and then the contract. And let me take US. So the stretch of the brand in the US, especially if we talk about Natuzzi Italia has been terrific. As Pasquale used to remind us the regional wave of success in the company three decades ago was very much about value for money. So it was delivering this innovative, colored leather sofa for 395, 400, 410 landed cost, which was, of course, a terrific innovation in the market at a very affordable price. And it was guaranteed the first way of success in the company. Natuzzi Italia now most sold individual product configuration. It's called Iago, leather 25, three engines is sold nearly to US$1400. So you can think about the stretch of the brand, but that's not only the -- that's only part of the reality because for most of client situation, we're not talking any longer to sell a product, but to create with the client project, a solution. So we have those kind of individual residential project that we call trade because often there is a designer involved, they can go up to US$50, US$100, US$200, US$300 for each project because there are multiple environment, very often in large villas that we can deliver. And this is happening in our stores. So in our store, both the individual clients tend to buy in higher price ticket products, but especially with the trading contract we serve project rather than individual sales of product. But this still is a channel through mostly our stores. Contract is a very new, very new avenue for us. While it's been very important for some of the European brand and Italian brand. I will not name any in particular, but there are some brands for which contract is 40%, 50%, 60% of the total revenue because on that stores. For us, it's a new opportunity. We created with a very strong manager and maybe one of the next call, I will introduce him to you, Raimondo Volpe, our Contract Division. Here we're talking about more large B2B opportunity in the space of hotel, in the space of retail and, let's say, travel infrastructure like it could be airport or which is very interesting in a dynamic, which is emerging in the Middle East, but another geography, which are branded building. That opportunity typically is made of larger contracts where we try to achieve a very good, let's say, overall breakeven, we tend to have a back on developed rule to say 60%, 70% should be our product, 30%, plus 40% can be a complementary product. Those large opportunities, clearly, our opportunity but also the counterpart tend to be more price-sensitive. So the margin we're looking at is higher to what we are doing in terms of sell-in, but still need to consider that those especially large opportunities tend to be quite competitive. So it's not an area where you get, let's say, the similar margin that we are operating for instance in our retail stores. So long story is to say what. Definitely, Natuzzi Italia has been greatly elevated. The quality of sales we're doing in our stores put Natuzzi Italia, a completely different animal. It was Natuzzi in US 20, 30 years ago, contract more to come, maybe in the next press release, also touching good that we closed a couple of interest contracts we are discussing. I will ask our leader of contract to introduce better this opportunity which I believe will be very coherent with the strength of the brand and very promising.
Kirby Newburger: That answers a lot of my question, but I would still like to know a little bit about and maybe the numbers are here and I don't -- a breakdown of what percentage of sales is the Natuzzi Italia and what percentage of sales is this new contract business.
Antonio Achille: So. Let me clarify. Contracts. We do have visibility because I ask and I must say Carlo and the team responded very well to manage our business as some of the parts. So we definitely look at contract as a standalone business unit, but the sales that we do are typically Natuzzi Italia product. So you see that part of the Natuzzi Italia sales not as a different kind of, let's say, reported sales because they are not, which is very important for us. They are not on branded sales. They are branded sales because by those opportunity, we also look at ways to strengthen, let's say, our brand. If we look specifically at the first quarter 2024, the sales of Natuzzi Italia were 29.5 million, which include trading contract and the sales of Natuzzi Edition were 46.5 million, looking at first quarter 2024. So, Kirby, what I referred before is trading contract are included in Natuzzi Italia sales.
Kirby Newburger: Okay. Thank you.
Antonio Achille: Then internally we don't -- we do have the share of the newly created division and maybe when things will get more mature, we also will be creating transparency for US investor to look at this newly established division that we're really looking to manage as a business unit, not only from an organizational standpoint because we appointed a separate team, but also from an economic standpoint because we're looking at it as a kind of new startup within the group. But for the time being, we don't disclose that figure in our press release. We might decide to do it for the time being, those get accounted under Natuzzi Italia sales.
Operator: Thank you. We reached end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Antonio Achille: My side, I will say thank you again, all of you, for being with us. Let me stop here to pass over to Pasquale. If you want to have any final remarks in closing this conference.
Pasquale Natuzzi: Antonio, first of all, my personal and sincere complement, you touched all the points. You answered to all the questions in a correct way. I mean because there have been several questions addressed to you and probably one of the question or the answer that probably we need to address also to our shareholders is that in China we are teaching them. We are training them how to manage correctly the brand and retailer. In addition to that, also, we are addressing and teaching them, helping them to restructure the JV company. Because as you remember, certainly, Antonio, they just fired 30 people, and they are going to fire additional people. I mean but and then hire more qualified people to manage brand and retailers. I mean, so that's something that I'm sorry that you missed it.
Antonio Achille: Yes. Thank you for complimenting.
Pasquale Natuzzi: So that's one. Then there is another question. You mentioned the Natuzzi region. Okay. Yes, I strongly believe, as you know, that we should focus on organic growth, okay. And we know that there are improvements to be made in our stores, in our US, in America, but also in other geography where we should improve the consumer experience. That means that we should make some improvement in merchandising and visual training to sense people in the store. I mean so that's Diego knows very well what we are doing. Now brand region it's just disciplined. In other world our manager in all the geography they need a clear direction, they need to implement the brand management in a very disciplined way and that's what we are doing. That's what we have been doing in the last 8, 10 months and has been very much appreciated from the customer that they came to Milano, they came to HighPoint. They came into New York during the New York Design Week, they are coming here to the Congress also. I mean you addressed very well all the issue, but there are just those issues. We know that we have space for organic growth, we know what we should do. And certainly that's our priority. So as you know, Antonio, you and I, we very much agreed on the company's direction together with all the management team. Other than that, I appreciate all the questions that our shareholders are asking to us that means that they care about our company. And this is very important for us. Thank you very much, everyone.
Antonio Achille: Thank you, and thank you, Pasquale, for closing this call. Kevin, I believe we can close it now. Thank you, Pasquale, and thank you, everyone.
Operator: Thank you. That does conclude today's webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.